Operator: Good day and welcome to the Salem Media Group Third quarter 2015 Earnings Conference Call and Webcast. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event has been recorded. I would now like to turn the conference call over to Mr. Evan Masyr, Executive Vice President and Chief Financial Officer. Mr. Masyr, the floor is yours, sir.
Evan Masyr: Thank you and thank you all for joining us today for Salem Media Group's third quarter 2015 earnings call. As a reminder, if you get disconnected at any time, you can dial back in or listen from our website at www.salemmedia.com. Today I'm joined by Edward Atsinger, Chief Executive Officer; and David Evans, President of Interactive and Publishing. David Santrella, President of our Broadcast Media is about to board a plane returning from our listener trip in Israel and will be available on the Q&A portion of the call until we have to hang up. We'll begin in just a moment with our prepared remarks and once we're done, the conference call operator will come back on the line to instruct you on how to submit questions. Please be advised that statements made on this call that relate to future plans, events, financial results, prospects or performance are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on currently available information. Actual results may differ materially from those anticipated and reported results should not be considered an indication of future performance. We do not intend and undertake no obligation to update our forward-looking statements, including forecasts of future performance, the potential for growth of existing markets, the opening of new markets or the potential growth from future acquisitions. More information on risks and uncertainties that may affect our business and financial results are included in our annual report on Form 10-K and other public filings we have made with the Securities and Exchange Commission. This conference call also contains non-GAAP financial measures within the meaning of Regulation G, specifically station operating income, EBITDA, adjusted EBITDA and free cash flow. In conformity with Regulation G, information required to accompany the disclosure of non-GAAP financial measures is available on the Investor Relations portion of our website at www.salemmedia.com. I would now like to turn the call over to Edward Atsinger. Ed?
Edward Atsinger: Thank you, Evan and thanks to all of you for joining us for today's call. I'll follow my usual pattern of giving a quick overview of third quarter performance. Now I want to discuss some strategic initiatives that we've taken particularly at our Publishing division. I'll talk a little bit about our recent acquisitions and then I'll conclude my remarks with a little bit of information regarding our dividend. When I'll finish my remarks, I'll turn the call back to Evan and he can drill down in much more detail on performance for Q3 and also give some guidance for the last quarter of the year. So of the [indiscernible] as an overall picture, overall quarter revenue, total revenue declined 3%, recurring operating expenses also declined by 1% and resulted in a 10.9% decrease in adjusted EBITDA. And if I take a look at our results by division there are some encouraging developments. Our broadcast revenue was up 1.9% for the quarter despite the fact that it was the political year. And to put that in perspective in the third quarter of last year our Broadcast division had a $1.1 million political revenue for the quarter and this year just $300,000 of political revenue. If you adjust the impact of the political revenue out of both quarters our broadcast level actually increased 3.6%, so we are quite satisfied with that performance especially in light of the fact that the entire radio industry was down 1.6% in the markets where we operate according to both capital. A few other bright spots and figures highlighting on the broadcast side, local spot revenue was up 5.4% and local programming revenue was up 3.9% and national block programming was up 6%. Additional event revenue increased 27.3%. The one that continues to lag is national business with national spot revenue down 18.10% and [network] revenue down 8.4%. Both segments seem to be bouncing back a bit in Q4 by the way. They were down primarily in Q3 due to reduced political revenue compared to Q3 of last year and also movie revenue was a significant factor particularly at the network level. Broadcast expenses were up 2.9% resulting in a decrease in station operating income $64,000 or 0.5%. One of the factors driving the expenses up in the quarter was an increase in medical price. We've mentioned in the past that we are partially self-insure our medical costs, [indiscernible] that we will occasionally have a quarter where medical costs are more than anticipated and this is one of those quarters. Our medical costs in the Broadcast division were about $225,000 higher this year than last excluding that SOI would have been actually up for the quarter. While we use a quarter-to-quarter predictability by being self-insured, nevertheless on an annually basis, we continue to save substantial amounts of money under this program. On our last few calls, we've talked about the challenges facing our Digital division this year particularly from the transition of desktop page views to mobile page views and the changes in the Facebook newsfeed algorithm, these challenges have largely contributed to 5.7% revenue decline through the first six months. This quarter the decline has slowed positing 1% decline in digital revenue. And although we continue to see reduced traffic from Facebook through the changes in their algorithm, we have seen improvement in our mobile monetization efforts. So while we continue to focus on further improving our mobile monetization efforts, we've also been quite attendant to controlling costs and improving efficiency. In fact the expenses were down 2.8% which led to an increase of 5.9% in digital operating income. Publishing, our third division is clearly our most valuable business on a quarter-by-quarter and even year-to-year basis. As it has significantly impacted by the schedule of book releases and the impact of bestsellers in a given quarter and the typical boost in sales in political years versus non-political years for Regnery, and because of this timing the results are rather choppy from quarter-to-quarter. And to put our results in this quarter in perspective, you need to recall them. We had two books with just a number one list, New York Times Bestseller's, but we didn't have similar hits in Q3 this year. This resulted in a 29.9% decline in revenue and a 15.6% decline in expenses. The expense in the quarter includes reserves on two larger advances where sales have been less than we had anticipated. On the other hand, looking forward, we have three titles to be released in fourth quarter this year which should have a nice impact on our revenue particularly in a light of the fact that the fourth quarter last year did not have any big releases. With regard to these titles today, we released the Emmaus Code, Finding Jesus in the Old Testament by David Limbaugh. Additionally we're branching out from our conservative book publisher and to also publish faith-based titles. On November 16, we are releasing our first look under Regnery Faith brand, it is Sweet Freedom, a devotional by Sarah Palin. Also under Regnery Faith Phil and Kay Robertson of Duck Dynasty have a booking released on November 23, title Exploring the Joy of Christmas, A Duck Commander Faith and Family Field Guide. Given our sale of Christian Multimedia platform, we're excited about the future potential of what we [face] and we are optimistic that we'll do well with that new brand. We've been particularly busy with respect to acquisitions I stated in our last call that Disney decided to liquidate its radio Disney format and divested 23 radio properties. We've already mentioned the acquisition for Disney stations in Orlando, Pittsburgh, Atlanta, Boston and Dallas. Since our last call, we've agreed to buy the five remaining Disney properties for a total price of $2.25 million. This purchase includes AM stations in Minneapolis, Denver, Tampa, Portland and St. Louis. All of these are tuck-ins in existing markets with the exception of St. Louis. St. Louis will give us our first station in this market which puts us now in 23 of the top 25 radio markets in the country and allows our News talk format that have another outlet in the top 25 market which is important to strategically. This will be our first station in this market as I said and we look forward to perhaps globally a real bigger cluster as time goes on. Let me just say with the price we paid for the five stations, we believe they can be quite successful with these stations and should be able to integrate them into our operations rather nicely very, very pleased with the purchase price we were able to achieve to clean this last of the inventory out for Disney. Additionally we've invested in two bible apps. We acquired the Android DailyBible app for $1.5 million. We also acquired the La Biblia, Spanish language bible application for $500,000. These acquisitions substantially increased our presence in the mobile app space and help reduced our reliance on Facebook as a source of traffic. Let me conclude my remarks with an update on our dividends. On September 30, we paid $1.7 million in dividends or [6.5 cents] per share which represents a 4.1% dividend yield. Recall that we return approximately 20% of our free cash flow to shareholders in the form of a cash distribution. For the last 12 months, our free cash flow was $26.3 million or $1.3 per share. At our current share price of $6.30 this represents 16.3% free cash flow yield. And given the increased political revenue in election years, we increased page views on our conservative opinion website and the fact that Regnery tends to perform better in election years. We should see a meaningful increase in free cash flow in 2016. Our board will be reviewing and approving the next dividend quarterly, we'll send announcement in early December. With that I'll hand the call back to Evan for additional detail on the quarter and to provide some guidance for Q4.
Evan Masyr: Thank you, Ed. For the third quarter, our total revenue decreased 3.0% to $67.5 million. Operating on a recurring basis decreased 1.0% to $54.7 million and adjusted EBITDA decreased 10.9% to $12.8 million. Net broadcast revenue increased 1.9% to $49.2 million and broadcast operating expenses increased 2.9% to $35.4 million resulting in station operating income of $13.8 million. On the same station basis, net broadcast revenue increased 1.0% and SOI remained flat at $13.8 million. These same station results include broadcast revenue from 105 of our radio stations and our network operations and represent 99% of our broadcast revenue. I'll now take a look at our broadcast revenue by format. 42 of our radio stations are programmed in our foundational Christian Teaching and Talk format. These stations contributed 43% of total broadcast revenue and increased 1% for the quarter. Our 29 news talk stations had an increase of 6% in revenue for the quarter and overall these stations contributed 17% of total broadcast revenue. Revenue from our 13 contemporary Christian music stations contributed 23% of total broadcast revenue and increased 4% for the quarter. The 9 stations that we have programmed in Spanish language Christian Teaching and Talk decreased by 7% and this format comprises 2% of our broadcast revenue. Finally, rounding at our main formats, we have 10 stations in a business talk format and that format contributed 2% of total broadcast revenue and declined 3% for the quarter. Our network revenue decreased 8.4% for the quarter and represent 8% of total broadcast revenue. Publishing revenue was down 29.9% to $6.9 million and represent 10% of total revenue. And revenue from our digital media businesses decreased 1.0% to $11.4 million and represented 17% of total revenue. At September 30, 2015, we had $274 million due in our Term Loan B and also a $6.1 million drawn on our revolver. Our leverage ratio decreased from 5.61 compared to a compliance covenant of 6.25. For the fourth quarter of 2015, we're projecting total revenue to increase 1% to 3% over fourth quarter 2014 total revenue of $65.9 million. We're also projecting operating expenses before gains or losses on the disposal of assets, impairment losses, depreciation, amortization and stock-based compensation expense to increase 1% to 4% compared to the fourth quarter of 2014 operating expenses of $54.09 million. And with that, that concludes our prepared remarks and now we would like to now answer any questions. Back to you, operator.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions]. The first question we have comes from Michael Kupinski at Noble Financial. Please go ahead.
Juan Bejarano: Hey this is actually Juan Bejarano for Michael Kupinski and thank you for taking our questions. Regarding block programming, that was better than we expected. Can you provide a little more color on block programming what drove the increase? And then if you can comment on what type of price bump is the Company contemplating for next year?
Edward Atsinger: Dave Santrella is joining us up at another extension. Dave, are you with us?
David Santrella: I am with you guys. So with regards to block programming, block programming was up really both on our news talk stations and our Christian teaching and talk radio stations. Some of that is due to some new programming that we've been successful. We've been working on for a number of years and that programming came on board with us midway through second quarter and so fully in third quarter and wasn't there prior year same quarter.
Edward Atsinger: And as far as expectations for next year with block programming increases, I think kind of similar to what we had in the last few years probably a low single-digit type increases what we would expect.
Juan Bejarano: Okay, thank you. And then as far as the Publishing segment, it seems that the Donald Trump book is not selling all that well also the Ed Klein book. So just wanting to get your comments ahead of the elections, does this offer a grim outlook for publishing in 2016?
Dave Santrella: No I don't think so at all. With Donald Trump book, you got to remember that this is a title that was four years old, that was published when Mr. Trump was campaigning for the Republican candidate for the 2012 elections, so it isn't a new book by any means. And then second he did no publicity or promotion for the book. He was entirely and is entirely focused on his campaign. So we're happy that we're able to sell some additional books [backlist] title, we find a new going in that, it's very different from a brand-new title. With respect to Ed Klein, yes the results from that one were a little soft. I think there is probably a little exhaustion with the subject of Hillary Clinton. She has been all over the news for a considerable period of time. And I think that subject in terms of the studying a book is perhaps a little tired. Next year it's a whole new slight of books and we're looking forward to some of those titles.
Juan Bejarano: Thank you for the color. You mentioned the Q4 title, but can you maybe go over the titles for the first quarter and then from Q4 and Q1 maybe if you can identify the ones that you think may have some breakout potential?
Dave Santrella: Yeah. For third and fourth quarter, the three title that Ed mentioned earlier were David Limbaugh title; the Emmaus Code, a Sarah Palin title; Sweet Freedom, and Kay Robertson title; Exploring the Joy of Christmas. I don't have the exact calendar for next year in front of me. There is going to be a title from Dinesh D'Souza. There is going to be another from David Limbaugh, another title for Ed Klein. With the three of the three of the bigger titles we're looking forward to and there would be Q2, Q3, Q4 titles probably not Q1.
Juan Bejarano: Got it, okay. Thank you. And then just finally, yes. As far as M&A, given the [durations] of some of the larger reader play, any acquisition opportunities for the Company and then if so would you be willing to make some bigger deals here and maybe how much leverage are you willing to go to?
Edward Atsinger: Well, we're going to be very conservative on leverage. We have to raise some new capital. There has to be a new infusion of capital for us to make a big move. We're working on delevering, that's been one of our objectives. The Disney opportunities, some of these stations were simply so attractive in terms of price, and there was some additional asset considerations. Many of them had valuable real estate associated with them as well as the radio property, so we were very comfortable getting a little more aggressive on these Disney properties. Now we're going to have to catch up a little bit, but if something comes available that's really attractive and makes a lot of strategic sense, we'd have to probably look for maybe an equity infusion or look for a new player or new party, something creative that does not exacerbate our leverage because the Board simply doesn't want to go there.
Juan Bejarano: Hey got it. Thank you. That's it for me.
Edward Atsinger: Hey thanks a lot.
Operator: [Operator Instructions]. Next we have Lisa Springer with Singular Research.
Lisa Springer: Good afternoon. My question concerns digital subscription revenues, which the decline was attributed to decline in the number of new subscriptions which was impacted by the rebranding effort. Could you give us an update and little color on rebranding effort and what you're seeing in terms of subscriptions?
Dave Santrella: I'm not sure what you're referring to.
Lisa Springer: I'm referring to the 10-Q.
Edward Atsinger: The 10-Q.
Lisa Springer: Yeah. You said the sale of new subscriptions was impacted by a rebranding effort that began during the 2015.
Dave Santrella: Digital subscriptions were soft in Q3 compared to Q3 a year ago in our Financial Publications business. The principal reason as we launched a brand-new title a year ago called Fast Money Alert. Whenever you launch a new magazine subscription product, your first year renewal rates are in the 20% area that's just fairly typical to newsletter publishing business. So a lot of our folks can sold and we didn't have a similar new product this year.
Lisa Springer: Okay, thank you.
Operator: At this time, we have no further questions. We'll go ahead and conclude our question-and-answer session. I'd now like to turn the conference back over to Mr. Edward Atsinger, Chief Executive Officer for any closing remarks. Sir?
Edward Atsinger: Thank you, operator. And thanks again to all of you for joining us for the call. We look forward to meeting with you again in a few months to give you a wrap up for Q4 and for the year. We'll hope to see you there.
Operator: We thank you, sir and to the rest of the management team for your time also today. The conference call is now concluded. At this time, you may disconnect your lines. Thank you and have a great day everyone.